Operator: Greetings, and welcome to the SiteOne Landscape Supply’s Second Quarter 2018 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Pascal Convers, Executive Vice President of Strategy and Development and Investor Relations for SiteOne Landscape. Please go ahead sir.
Pascal Convers: Thank you and good morning everyone. We issued our second quarter earnings press release this morning and posted a slide presentation to the Investor Relations portion of our website at investors.siteone.com. We will be referencing the slides during this call. I'm joined today by Doug Black, our Chairman and Chief Executive Officer; and John Guthrie, our Chief Financial Officer. Before we begin, I would like to remind everyone that today's press release, the slide presentation and statements made during this call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. Such risks and uncertainties include the factors set forth in the earnings release and in our filings with the Securities and Exchange Commission. Additionally, during today's call, the company will discuss non-GAAP measures, which we believe can be useful in evaluating our performance. A reconciliation of these measures can be found in our earnings release and the slide presentation on our website. I would now like to turn the call over to our Chairman and CEO, Doug Black.
Doug Black: Thank you, Pascal. Good morning and thank you for taking the time to join us today. I’m pleased with the progress we made in the second quarter as we accelerated our organic growth following the prolonged winter and we’re able to quickly adjust to the step up in cost inflation. We also continue to add terrific companies to SiteOne during the quarter and in July. Lastly, we made good progress on our investments in the future by completing the pilot of our new e-commerce platform during the quarter and beginning our company-wide rollout. Overall, we’re well-positioned to take advantage of the current market tailwinds and deliver performance and growth in 2018 and beyond. I will start today’s call with a review of our unique market division, our strategy to deliver long-term performance and growth and our progress over the past four months. John Guthrie will then walk you through out second quarter financial results in more detail; and Pascal Convers, will address our acquisition strategy. Finally, I will discuss our outlook for 2018 before taking the questions. I'll start on Slide 4 of the earnings presentation. SiteOne is the largest and only national wholesale distributor of landscaping products with a footprint of 547 branches and three major distribution centers in the U.S. and Canada, comprising approximately 10% share of this $18 billion highly-fragmented market. We are four times larger than our nearest competitor and larger than two to ten combined. Our size and scale are agile culture and our full product line capability give us competitive advantage and provide a nice balance across the maintenance, new construction, and repair, and upgrade end markets. Turning to Slide 5, our large and local strategy combines the scale, resources and capabilities of a large world-class company with the passion, unique knowledge and entrepreneurialism of our local teams in order to deliver superior value to our customers and suppliers. We further drive this strategy by acquiring leading local and region companies to fill in our product portfolio, add terrific talent to our teams and expand our branch network across the U.S. and Canada. We believe the combination of these efforts will allow us to gain market share both organically and inorganically in order to accelerate our growth and profitability. Our strategy is enhanced through the execution of our five commercial and operational initiatives listed here, which help us to improve our value to customers and suppliers, expand our margins and accelerate organic growth. Overall, our market position, capabilities and strategy allow us to create value for our shareholders in three complimentary ways through organic growth, margin expansion and acquisition growth. Since we are still in the early innings of implementing our strategy, we believe that we can leverage all three of these areas to create significant value for many years to come. Slide 6 illustrates SiteOne's history, and our strategy in action. Following the spin-out from Deere & Company at the end of 2013, we developed a vision and a strategy to be a company of excellence for our associates, customers, suppliers, shareholders and communities. Since then we have been hard at work, building our company, transforming our culture and executing our strategy. As you can see from our financial results, our strategy is working with strong organic and inorganic sales growth over the past three years, and solid operating leverage with a 17% top line compound annual growth rate, translating into 29% compounded annual growth rate for adjusted EBITDA. We remain on track toward our stated, adjusted EBITDA margin goal at 10% plus. Turning to Slide 7, we are still at the very beginning and we have only just begun to implement our strategy. This includes filling in our product-line capability in every major U.S. and Canadian market. The graph shows that we only have a full line of capability today in approximately 45 of our targeted 225 major markets, primarily due to the lack of nursery and/or hardscape branches. We plan to add the majority of these branches through acquisition in order to also bring in local talent, and both the customer and supplier relationships required to win in these markets. Additionally, we will continue to penetrate new markets and improve our market position in irrigation and agronomics through acquisition. I will now shift to our second quarter performance on Slide 8. We achieved 13% overall sales growth with good contribution from acquisitions complementing growth in organic sales. As we mentioned on our first quarter earnings call, the spring season did not kick in until mid-April, which is very late compared to a normal start in March. Accordingly, April organic daily sales growth was quite muted. However, the strength that we saw in late April did carry through to May and June, where we have achieved 8% to 9% organic daily sales growth, yielding 5% organic growth for the full quarter. Importantly, we are seeing good organic daily sales growth in July against tougher, comparable growth rates in 2017. Price inflation, which was very low last year, is more of a tailwind this year and was 3% in the second quarter. We expect this trend to continue in the second half, and now I believe we will see approximately 3% price inflation for the full year. With the construction markets healthy and growing, and continued contribution from acquisitions, we expect good sales growth in the reminder of Q3 and for the rest of the year. On the gross margin side, we saw a step up in cost inflation in the second quarter, which we have not seen for several years, driven by increased material, freight and labor costs. Our teams work hard with our suppliers and customers to pass these costs through in a responsible manner. As you can imagine, this takes time, and so we achieved only a modest amount of gross margin expansion during the quarter, which like organic daily sales improved as the quarter progressed. We are now well-positioned to achieve gross margin improvement in the second half with the benefit of our category management and supply chain initiatives. Our adjusted EBITDA grew 12% in the quarter, which reflects good contribution from acquisitions and growth in the base business. Adjusted EBITDA was slightly dampened by the late spring, cost pass through and planned investment in our strategic initiatives during the quarter. With our current trends in organic sales and gross margin, and with SG&A spending on plan, we remain confident that we will see good EBITDA margin expansion for the full year. On the initiatives front, we continue to make progress integrating our three distribution centers to successfully support our branches. We are very pleased with the performance of our DCs and the new dimension that they have added to SiteOne in terms of product availability and logistical performance. Our supply demand teams and field associates have done a fantastic job ramping these up and we look forward to reaping the rewards for many years to come. Last quarter we discussed the pilot launch of our new e-Commerce platform, the new siteone.com, which allows our customers to order products and schedule pick up or delivery all from their phone, tablet or computer. As you are aware, our e-Commerce portal has been in the development for nearly two years now and we are very excited that it has gone live in select markets. We made progress in the quarter rolling out to new markets and the site is now live in six of our eleven regions. We now expect to complete our rollout of the site by the end of September. We are seeing a solid response to the new siteone.com and believe that this new capability will position SiteOne as a clear leader and service efficiency for our customers and suppliers. Overall, we are still in the early innings of building our company and believe that our investments will deliver tremendous competitive advantage in our fragmented market and support accelerated performance and growth for years to come. Our acquisition strategy continues to be successful and compliments are organic growth. We've completed 11 acquisitions year-to-date, four of those this quarter and four more recently in July. Combined, these acquisitions comprise approximately $195 million of trailing 12-month ravening. Pascal will go into more detail regarding these acquisitions later on the call. Overall, our acquisition activity continues to ramp up nicely and you can expect to see more deals close during the remainder of the year. In summary, I am very pleased with our team's ability to navigate through the various challenges in the second quarter and post a record result while keeping us on track to deliver strong results for the full year. Now, John Guthrie will walk you through the quarter in more detail. John?
John Guthrie: Thanks. I’ll begin on Slide 9 with the income statement for our second quarter results. We reported a net sales increase of 13% to $688 million in the second quarter. During the quarter we had 64 selling days which was unchanged, compared to the prior year. As Doug mention earlier, organic daily sales recovered nicely and grew 5% in the second quarter and 4% for the first half. We started the first few weeks in April with negative sales growth due to the late start of the season. As spring eventually came and sales growth accelerated starting in mid-April and continued through May and June where we posted organic daily sales growth of 8% to 9%. We are seeing solid organic daily sales growth in July. Geographically, we saw broad growth across the country with strength in the Sunbelt market. Organic daily sales for landscaping products which include irrigation, nursery, hardscapes, outdoor lighting and landscape accessories, grew 5% for the quarter, 5% for the first half as the fundamental demand in the repair and upgrade in new construction end markets remain strong. We believe the broader recovery from the late season was constrained by labor shortages and a limited number of construction phase and as a result the recovery will likely extended into Q3. Organic daily sales for agronomic products, which includes fertilizer, control products, ice melt and equipment grew 6% for the quarter to 4% for the first half. Organic daily sales for agronomic products in the quarter benefited from a later spring selling season and price increases in response to cost inflation. In addition, organic daily sales for agronomic products for the first half of the year also benefited from the strong sales of ice melts due to the extended winter. Pricing increased 3% for the quarter and 2% for the first half of the year. This was a measurable increase of 1% increase in 2016 in 2016 and no increase in 2017. The price inflation has been driven by increases in our cost for material, freight and labor. We expect this trend to continue and price inflation for the full year to be approximately 3%. We are not factoring tariffs in our price inflation forecast. We do not believe the initial $50 billion of Chinese tariffs directly impacted many of our products. The more recent $200 billion list could have a larger impact as some products like gliding and control products have components sourced from China. Having said that, we have broad product line, potentially effective products make up less than 20% of sales and if the tariffs were enacted we would expect to pass through the associated cost. Additionally, given the timing of the tariffs and the seasonality of our business, we would not expect to see much change until 2019. Acquisitions contributed approximately $48 million to net sales in the second quarter or 8% to our growth rate. For the year, acquisitions contributed approximately $76 million or 8% to our overall growth rate. Gross profit increased 14% to $230 million in the second quarter. Our gross margin expanded 10 basis points to 33.4%. Category management was the largest driver of the margin increase as we continue to benefit from partnering with leading manufacturers and suppliers in our industry. The price increases previously mentioned largely offset the cost increases in the margin calculation. Product mix did not have a significant impact on gross margin, neither in the quarter or the first six months of the year. Selling general and administrative expenses, or SG&A, increased by 15% to $145 million in the second quarter. And SG&A, as a percentage of sales, increased 30 basis points to 21.1%. The increase in SG&A as a percentage of sales was attributable to our growth from acquisition and our planned investments in critical, strategic initiatives like e-Commerce and supply chain. We recorded income tax expense of $14.7 million in the second quarter of 2018, compared to $26.3 million in the prior year period. The effective tax rate was 18.9% for the second quarter compared to 37.3% for the prior year period. The decrease in the effective tax rate was due to the reduction of the U.S. corporate income tax rate from 35% to 21% as a result of the 2017 Tax Act, and an increase in excess tax benefits pursuant to ASU 2016-09. We continue to expect our 2018 effective tax rate will be between 26% and 27%, excluding the excess tax benefits associated with ASU 2016-09 and other discrete items. Net income increased 43% to $63.1 million for the second quarter, compared to $44.2 million for the prior year period. The increase in net income for the quarter is attributable to higher organic sales, contributions from acquisitions and a lower tax rate. Our weighted average diluted share count was 42.6 million shares for the second quarter of 2018, that’s compared to 42.5 million for the fourth quarter of 2017, the increase reflects both the increase in our stock price and our equity grants. Adjusted EBITDA increased 12% to $103 million for the second quarter, compared to $92.3 million for the same period in the prior year. Now I'd like to provide a brief update on our balance sheet and cash flow statement as shown on Slide 10. Net working capital increased approximately 26% from prior year period to $517 million as of July 1, 2018. The growth in net working capital primarily reflects an increase in inventory and receivables attributable to acquisitions, strong organic growth and the rollout of the new distribution centers. Cash flow from operation was approximately $12 million in the second quarter, compared to $23 million in the prior year period. The reduction in cash flow relative to prior year is primarily attributable to growth in accounts receivable caused by acquisitions, accelerating organic growth and supplier programs. For the first half of the year, cash used in operations improved $3 million to $28 million due to our higher earnings. Free cash flow for the first six months was essentially flat to the prior year period. We made cash investments of $23 million for the quarter, compared to $6 million for the prior year period, primarily reflecting our increased acquisition activity during the quarter. Net debt at the end of the quarter was $571 million, and leverage was 3.5 times at trailing 12 months adjusted EBITDA which is up from 3.2 times last year. The increase in leverage primarily reflects increased borrowing to fund our acquisition strategy. Our leverage target for the end of the year is two to three times net debt to adjusted EBITDA. In summary, our capital structure continues to provide us with a flexibility to execute our growth strategy, including the funding of our acquisitions. I will now turn the call over to Pascal for an update on SiteOne's acquisition strategy.
Pascal Convers: Thank you John. As Doug mentioned earlier, acquisitions played a key role within the overall growth strategy as we continue to fill a significant white space. As shown in Slide 11, we have now acquired 33 companies since the beginning of 2014. We added 193 branches to SiteOne and contributed $745 million in sales on TTM basis. We're having a strong year and having a good progress accelerating our pace of acquisitions from four in 2015, to six in 2016, to eight in 2017, and now 11 more through the first seven months of 2018, representing a $195 million in LTM sales. Now, let me turn to Slide 12 through Slide 15. You will be able to find information on the eight acquisitions we completed in the last four months. In April, we acquired Terrazzo & Stone Supply, a leader in the distribution of natural stone and hardscape materials with locations in Bellevue and Marysville, Washington. Terrazzo adds natural stone and hardscapes to our existing irrigation, agronomics and landscape lighting product offerings in the Seattle market. In May we acquired Landscaper’s Choice, a leader in the distribution of nursery and related products, landscape professionals, with locations in Naples and Bonita Springs, Florida markets. Through Landscaper’s Choice, SiteOne had nursery products which we did not have in those markets to existing irrigation and agronomics hardscapes, and landscape lighting product lines, and allow SiteOne to a full product lines of customers in South West Florida. On June 1, we completed the acquisition of Auto-Rain, which is a leading supplier of irrigation and related products to landscape professionals in the Spokane Valley market. With five locations in the States of Washington and Idaho Auto-Rain is a natural fit with SiteOne and it helps expand our geographic footprint into a new market where we did not have a presence before. On June 26, we acquired All American Stone in College Station, which is a leading supplier of hardscapes and landscape supplies in the East Texas market. All American is a great strategic fit in hardscapes, landscape supplies and natural stone products to our existing irrigation, agronomics, nursery and landscaping lighting products lines in East Texas. On July 2, we completed the acquisition of Landscape Express, which is a leading distributor of hardscapes, and landscape supplies, with full location in Boston and Metro area. The Landscape Express acquisition complements our existing operation with the full length of irrigation, agronomics, and nursery products, and allows SiteOne to a full product line to our Boston customers. On July 25, we acquired Kirkwood Material Supply, which is the leading hardscape, nursery and related landscape supplier with eight locations in the Greater St. Louis market. Through Kirkwood, SiteOne adds products which we did not have to our existing irrigation, agronomic and landscape lighting product lines unless I point to a full product line to our customers in St. Louis. On July 27, we completed the acquisition of Stone Center, Virginiam, which is a leading distributor of hardcapes and landscape supplies and has the lighting in the Washington D.C. Metro. Stone Center’s Manassas, Virginia location is a perfect complement to our current irrigation, agronomics and nursery product businesses, and a lot of this can pull out a full product line to our customers in Northern Virginia and Southern Maryland. On July 30, we made the strategic acquisition of CentralPro, which is a leading supplier of irrigation and related products with 10 locations and one distribution center in Central and Eastern Florida. CentralPro, brings a talented team to SiteOne with an excellent reputation and a strong history of customer focus and growth. The combination of two companies make us the clear irrigation leader in the State of Florida and provides good purchasing synergies, as well as cross-selling opportunities. As we turn to Slide 16, we continue to see a significant opportunity to grow profitably through acquisitions, which allow us to move into new markets, expand our presence in the existing ones, broaden our product offering, and also very importantly, add outstanding talent to our team. Our pipeline remains robust and with the 11 acquisitions year-to-date, our M&A strategy is gaining momentum and we continue to build the reputation of the buyer choice in the industry. We would also like to thank all the leaders of SiteOne who are great ambassadors working hand-in-hand with our development team to help SiteOne become [ph] the best company join to us in the future. While the timing of acquisitions cannot be fully predicted, we have strong momentum and expect to close additional acquisitions in the next few months, which should contribute nicely to our growth in 2019 and beyond. And with that, I'd like to turn the call back over to Doug to discuss our outlook.
Doug Black : Thanks Pascal. I'll wrap up on Slide 17. Overall, as we look toward the second half of the year, we are confident that we can deliver another year of excellent performance and growth for the full year 2018. The underlying market trends remain positive across residential and commercial, new construction, repair and upgrade, and maintenance. We continue to execute our commercial and operational initiatives, which we believe, will allow us to gain market share, achieve good organic growth and further expand our adjusted EBITDA margin. Lastly, our acquisitions are contributing strongly. And as Pascal mentioned, our pipeline of potential companies remains very active. Accordingly, we continue to expect 2018 adjusted EBITDA to be in the range of $180 million to $192 million for the full year. In closing, I would like to acknowledge all of the SiteOne associates to continue to create significant value for our customers and suppliers. We have a tremendous team and it is an honor to be joined with them as we build the company of excellence for all of our stakeholders. Operator please open the line for questions
Operator: Thank you. [Operator Instructions] First question comes from the line of Ryan Merkel with William Blair. Please proceed with your question.
Ryan Merkel : Hey thanks. Good morning everyone.
Doug Black : Good morning Ryan.
John Guthrie: Good morning Ryan.
Pascal Convers: Good morning.
Ryan Merkel : So, first of all, I'm curious on product price cost in the quarter. It sounds like you weren't able to pass along the full cost increase. So did I hear that right? And if so can you quantify what the impact was in the quarter?
Doug Black : So not exactly Ryan, we did pass through it just took the quarter to get that accomplished. The inflation started to hit us at the beginning of the quarter. And again 3% is steeper than we've seen in several years, right. So as that came through obviously, we went to work with our customers and our suppliers who responsibly passed that through. There's was a couple of months lag there. To get that done, the geographies actually create a headwind, and is dilutive to gross margin. But as we went through the quarter we were able to pass those costs through. And that's where we are today and what we're seeing in July is the full pass through in effect. And that allows our initiatives in category management and supply chain to be accretive to gross margin. So we feel like we're in good shape for the rest of the year. Call it a couple of months lag, where we had to work through the pass through, but we certainly have gotten to the end of that. And of course the 3% creates a nice tailwind for organic growth. So we'll take the benefit of that. And we feel good about the rest of the year and how it will play out and average out for the full year for gross margin.
Ryan Merkel : Okay, Doug. So if I heard you right there was a little bit of a lag it did weigh on the margins a little bit. But you're all caught up and then as it relates to gross margin expansion in the second half, price cost, freight and category management are all going to be positive drivers.
Doug Black : That's correct
Ryan Merkel : Got it, okay. And then I wanted to ask about organic growth in the quarter at 5%. You had 3% inflation so that implies about 2% volume growth. I'm just wondering is that 2% volume growth, is that below your expectations, because I was thinking more like 4% to 5% and then if so is the big issue just the slow start given the weather?
Doug Black : Right, great question. Yes the 3% obviously would add to organic growth and that's exactly what we saw in May and June. I mean April was kind of a half a month. I mean we were underwater in mid-April the season hadn’t started and again this is a big season. And when it goes it goes as quite powerful. So we started to see the lift in the second half of April. And then in May and June we saw that come through. By the way as I talked about the pricing inflation worked its way through in the quarter, as well. So the quarter is an average of a very slow start along prolonged winter and then a really strong kind of second half May and June, or second two third, let's call it. And we do expect that 3% to add to organic growth as a tailwind. We're seeing that as we speak.
Ryan Merkel : Got it. Okay, thanks I'll pass it on.
Doug Black : Thanks Ryan.
Ryan Merkel : Thank you.
Operator: Thank you. Our next question comes from the line of David Manthey with Robert W. Baird. Please proceed with you question.
David Manthey: Hi guys. Good morning.
Doug Black: Hi good morning.
John Guthrie: Good morning Dave.
David Manthey: First up, in a normal year when you look at the distribution of second quarter revenues by month, what are the percent of revenues that typically we come through in April and May versus June? Is there a waiting to one end or the other, one month or the other?
John Guthrie: You generally see April is the biggest selling month. I would say, I don’t have specifics but let’s say April would specifically be 15% of our sales for the year and May and June would be roughly 9% to 10%.
David Manthey: Okay. And then, as we look at the third quarter trend does it go the opposite of that, does it start out higher and decline into September, or is it more evenly dispersed there?
John Guthrie: July and August are relatively – July starts off, August is the slowest month and it starts ramping back up in September and October. September would be roughly equal to July, October would be greater than July and that’s really when the season ends. So you really get a kind of fall run up in September and October, July and August is obviously the slowest month before the end of the year.
David Manthey: Okay, that's helpful, thanks.
Doug Black: David one point to make is you can see our agronomic growth in the second quarter was good. The construction market growth was the one that really got constrained and that happens because when you lose, when you get that slow start and the season cranks up, there is a labor cap and the number of days cap and how much catch up. And we call that out when we released our first quarter results that it would really take Q2 and Q3 to kind of catch up on the construction side. And that's what we're seeing as well. So we would expect third quarter to benefit on the construction side from the lag we saw in if you want in Q2.
David Manthey: Okay. And then as it relates to the growth going forward if you're getting 3% price and let's say something in the mid-single-digit organic growth, I wouldn't think that high-single-digit organic growth in the back half of the year would be too much of a stretch. But let's just assume you're able to get to that level of organic growth. Is your expectation for contribution margin still in the mid teens kind of range. I think your guidance implies that. I just wanted to clarify though.
John Guthrie: That would be right. That will be in the mid-teens for incremental margins.
David Manthey: Okay, perfect. Thank you.
John Guthrie: Thank you, David.
Operator: Thank you. Our next question comes from the line of Keith Hughes with Sun Trust Robinson Humphrey. Please proceed with your question.
Keith Hughes: Thank you. So in the second half, for the last question we should hit the guidance we should see some good margin improvements. What would be the rough mix of that between gross margin and S&GA in your plan?
John Guthrie: So the majority of our improvement plan for this year is gross margin, right when we talk about the EBITDA margin improvement. And we still feel that's the case. And again that reflects that we're still investing in the business except where we do have line of sight to get a little bit of SG&A leverage, right. One other things about the first half is when you look at our investments, they're really first half weighted. And so versus last year, last year our investments tended to be second half weighted, this year they're more evenly spread. And so what we see is about a 20 basis kind of delta versus last year just on investments in the first half we won't see that in the second half, so that becomes a tailwind, right. So when you take it all together in the year we're still on plan with our SG&A. We see organic growth being solid, gross margins, as we explain will reflect the pass-through that we've accomplished in our strategic initiatives. We end the year aging with EBITDA improvement. The majority of that would be gross margin. Little bit on the SG&A, as we move into 2019 and 2020 we would expect SG&A leverage to increase meaningfully and it would be more of an even contribution between SG&A leverage and gross margin. But in 2018 the majority of it is going to be gross margin.
Keith Hughes: Okay. And as you are discussing more inflation this year than in several years, can you kind of tick off those top couple of categories where prices are going up the most?
Doug Black: The two product categories where we’re seeing the most is in agronomics and then the other category we're seeing it is in nursery. Nursery driven by short demand for products, has been in shortage for the last several years. And then on agronomics, it's a combination of demand. There's a bigger freight component of those products that is driving up the price.
Keith Hughes: Okay. Thank you very much.
Pascal Convers: Thank you.
Operator: Thank you. Our next question comes from the line of Michael Eisen with RBC Capital Markets. Please proceed with your questions.
Michael Eisen: Good morning gentlemen. Thank you for taking questions.
Doug Black: Good morning Michael.
John Guthrie: Hi, Michael.
Michael Eisen: Just wanted to start and thinking of the new acquisitions that you guys have announced and given more color on today. When thinking of the margin profile of these businesses is there anything to think about structurally or just in the near-term that will limit contribution from these branches?
Pascal Convers: No I mean the EBITDA margin of those deals that we’ve done recently is pretty much in line with where we are on average. You can see the combination of irrigation, hardscapes and nursery and so all we know is it's in line. I mean as you know the hardscapes and nursery companies tend to have a little higher gross margin and also a little bit higher SG&A. But overall, at the EBITDA level they are all contributing at the effort [ph] of the company.
Michael Eisen: Okay. And then when thinking about the pace of those accelerating, how should we think about the incremental dollars that are going to come into from an SG&A standpoint in the near term? And then from what you guys are paying standpoint, have you seen any change in the more deposit that are being asked at this point, just given the size and scale of your success?
Pascal Convers: The multiples are the same, right, were consistent over the last four years, we haven't seen any change. If you look at the pace of deals, I mean, for us it's not really a surprise, it’s the normal acceleration that we expect when we did four deals three years ago, and then six and then eight last year. And then year-to-date, what 11, I mean we expected to do 10 to 12 acquisitions this year. So most likely they’re ahead of schedule, no doubt, the pipeline is very strong. But that's the result of all the hard work of all guys why BSND team has done a terrific job and then working hand-in-hand with all guys in the field we’ve got 70 scouts. So everybody is looking for more up the trees and the pipeline is bigger. So for us as you know our mid-term goal is to get to, let's call it, 20 plus acquisitions a year or 12 months. So we're ramping up to that level over time. And yet we have line of sight for more deals in the next five months, no doubt. Sales are still and they are ready to sell, so we still expect to do a few more acquisitions. It’s be hard to break down by going back to your earlier question Mike. But SG&A impact in the five months coming from the base for such acquisitions having Doug summarizing here you will. The comp for the second half is better for us than the first half when it comes to SG&A and we still expect to leverage SG&A slightly this year.
Michael Eisen: Understood.
Doug Black: Yes one point just to follow-up. Just to follow-up with Pascal on that the timing does factor into that. So acquisitions that we do say in the second half of the year, we just did a bunch in July here. You can imagine they missed the big part of the season. And so just in terms of the phasing SG&A tends to be fairly fixed throughout the year and sales tends to be a little more front end weighted than back end weighted. So the specific SG&A to sales later in the season we acquire the more kind of dilute [ph] will be is kind of SG&A in sales. I mean they're all very profitable. And we don't try to time. We do the acquisitions when they're ready to be done because we've taking the full year benefit in the following year. But pay attention to the timing, the ones in the back half on an EBTIDA basis wouldn’t be delivering as much as the ones that we would have done earlier in the year.
Michael Eisen: That's really helpful, thank you guys.
John Guthrie: Thank you Mike.
Doug Black: Thank you.
Operator: Thank you. Our next question comes from the line of Nishu Sood with Deutsche Bank. Please proceed with your question.
Nishu Sood: Thank you, on that cost inflation acceleration how much of it was in the products that you are selling and how much of it was on your cost structure side, i.e., the labor and transport that you called out?
John Guthrie: When we were talking about the cost inflation the majority of it was on the product side. And by product I would say both materials and freight included on that side. SG&A as we're talking about cost inflation in that reference point is really reflected more in the SG&A line. But it is contributing as we evaluate that.
Nishu Sood: Got it, got it. So you are saying that there was an inbound freight you were trying to call out.
John Guthrie: Yes inbound freight. But you bring up a point even on SG&A, we do have a component of our SG&A is our delivery suite. So we are seeing some cost inflation there also.
Nishu Sood: Got it. Sorry go ahead.
John Guthrie: I just was going to reiterate that majority is in the product cost.
Nishu Sood: Got it, got it. And thinking about the acquisition pace and the accelerated pace of deals so far this year, what as you kind of take a step back has driven that? What are the conditions? Has it been just, that obviously the targets you're acquiring? I'm sure the financials have improved, so obviously it's a better point for them to sell. Is it just the efforts to develop the pipeline? Is it just obviously deals come when they come, is it there's some element of clustering? Is there anything that on a broad basis if you take a step back though that you would identify as kind of driving the conditions to accelerate the pace of acquisitions?
Pascal Convers : Yes, no what you said in the middle which is all the efforts that the team has put, right? Again, we’re trying to get to 25 a year or so. 11 year-to-date is really quite ahead of the schedule, but we're not where we want to be mid-term. The team has been complete since it was the fall of 2015 when we've got five people full time on the M&A side plus 15 to 20 people in the aggression side working hand in hand with filed. So normal acceleration all the result of the efforts we don’t think that there is any relationship if you will with the cycle at the end of the day. Easier sale probably for someone when you're in that extension as opposed to a downturn, however a lot of those companies behave fairly well also. I mean the downturn depending on the product lines at the harbor, lot of regions are now boom to bust, so nothing really unusual or an expected lot of great work from many people in the company to get there.
Nishu Sood: Thank you.
John Guthrie: Just play on that, keep in mind that we have 250 to 300 targets of acquisitions right. So as Pascal said, it's taking time to get to know them, then get to know us. Its taken time for our reputation to spread. As the good time for companies these are a big decisions, these are all entrepreneurs, and majority have negotiated sales. So Pascal and the team have been hard at work and we've built our integration capability to responsibly ramp up. So I think you're just seeing that ramp up. We wouldn't expect, I mean, when I kind of replicate July and the before month, right I mean, and so the do actually come in clusters within the year. But if you look at the ramp up from six to eight is kind of let's call this year 10 to 12 still, to next year 15, et cetera, et cetera. As we become a bigger company, we get bigger capacity to add great companies. And the terrific thing is that these are – we are acquiring the best companies in the market. These are high performing companies. They fill an essential gap in our geographic network, they fill in our product lines. So we’re not just buying companies we’re filling in and building our company as we do it. And so it’s a natural ramp up. And we would aim to continue to ramp up going forward as Pascal said.
Nishu Sood: Okay, thanks. I appreciate the color.
Doug Black : Thank you, Nishu.
Operator: Thank you. Our next question comes from line of Steven Winoker with UBS. Please proceed with your question.
Steven Winoker: Thanks and good morning.
Doug Black : Good morning
Steven Winoker: I just like to start on the M&A front a little bit more. So as these layer in through 2018, your 11 acquisitions, what's your go forward 2019 EPS accretion for the group? I understand they layer, but just incremental next year, what should we think about bottom line for all of these?
John Guthrie: I don't think we're ready to give the guidance for next year yet with regards to the acquisitions.
Steven Winoker: So then I guess the question is what is the full year run rate? I mean you've done these, what's the ROIC on the on the group that you are averaging in your plan?
Doug Black : Well I think as Pascal said, as we’ve laid out with regards to them, what their revenues are and as Pascal indicated earlier what the EBITDA would be. And the multiples have been similar to what we've done in the past.
Steven Winoker: So you're not, okay. So then let me go to cash flow and operating cash flow. And free cash flow, I guess, is $6 million in the quarter. You indicated that working capital build the higher CapEx. Can you talk about when we should expect that to “normalize” the new size of the organization? What the drivers are? And what you're doing to sort of create better efficiencies around operating cash flows as well?
John Guthrie: Yes, so two things. One is remember that we are a seasonal business, and really the first half of the year is a cash flow – build of cash flow. And then we really become cash flow positive in the second half of the year. With regard to improving cash flow, I think, one of the things that you're really going to see and that's really an enabler, is our new distribution strategy. It actually has been a headwind in the past as we rolled it out and kind of built up inventories. But really it has allowed us to be much more surgical in how we buy and how we be more efficient with regards to our operating cash flow and net inventory build. So this has been kind of an evolution. We've always thought that our goal was to get upwards of five times on inventory returns and really kind of the put enabling [ph] step was the distribution and kind of re-statement of where we're going with regards to inventories?
Doug Black: Yes, so just to play on that. So you've seen an inventory build and we talked about that in the first quarter. That’s continued in the second quarter, with the DC then you're doubling up a bit. But we have clear line of sight to work that down in the second half. And we will see improved turns in the second half, we will see inventory get down to “kind of normal levels”. And then in 2019 and beyond we’ll be able to drive inventory in relation to sales, lower and achieve the turn on improvement. And we have a plan, we also have incentives in the field with an inventory charge, in the field and we are all aligned in achieving the inventory efficiency. And you'll see that in the second half of the year.
Steven Winoker: Okay. Alright, that's helpful. Thank you.
John Guthrie: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Matthew Bouley with Barclays. Please proceed with your question.
Matthew Bouley: Hi. Thank you for taking my questions. Following-up on the earlier question around deal acceleration, do you suspect that any of – I guess increasing challenges in the market whether it's freight, or labor, or the cost inflation are playing into the availability of targets at this point? Just how do you think about kind of the availability of targets changing at different points in the cycle more broadly? Thank you.
Pascal Convers: Good question. As Doug said, we got a pipeline of 250 companies that pipeline keeps extending, right. We find new names and new targets. Every time you acquire a company, they have their own list actually of targets that they would like to acquire. So that keeps getting bigger. We don't anticipate inflation in freight, or those kind of matters to play a role in the acquisition. Again we've done it for many, many years in the past life. And we're sustainable at 20 to 25 deals a year, through the downturn as well. So we do not expect those, I guess, short term kind of noisy to play a roll in a long-term return acquisition strategy. So we said we would do 10 to 12 this year. We're ahead of schedule. Next year we are thinking that probably getting to 15 would be a good target. After that you go to 20, 25. So the actual ratio will be there, the targets are out there. We've got clear [indiscernible] discussions at all time, with 35 to 40 companies at any time you've got between 10 and 15 NDAs, right. And at any time you've got between two to five handshakes, LOIs. And that continues to be the case, and will continue. So we’ll get busier. We’re already pretty busy. And it's a nice thing to see. So we are happy with the future.
Matthew Bouley: Okay, that's helpful. Thank you. And then just on the guidance, you added that the $95 million in annualized revenue since the last quarter but left the full year guidance unchanged. Is that presumably just the cost inflation lag you mentioned as the main offset, or also some of the maybe the second half deal timing means there really isn't much contribution from the deals. Just how should we think about some of the puts and takes within that guide? Thank you.
Doug Black : Right, I think that's a good question. When we put our guidance out, of course we had Atlantic which was one of the big ones in the first half. And yes we've added quite a few, but they've been late in the second quarter and they've been obviously four more in July, which comprise $75 million of sales, which is quite a bit. And as we mentioned, when you buy in acquisitions in the back half, they just don't contribute as much. So overall, they're contributing strongly. When we look at the numbers we're still within the range $180 million to $192 million. And we feel comfortable with that. And we could get about the acquisitions. But it's largely around the timing of when these acquisitions come on and what they deliver, especially the ones in the back half.
Matthew Bouley: Okay, that's clear. Thank you very much.
Doug Black : Thank you.
Operator: Thank you. Mr. Black there are no further questions at this time. I will turn the floor back to you for any final comments.
Doug Black : Okay it’s terrific. Well, thank you all again for joining us today. We very much appreciate your interest in SiteOne. And are excited about our long-term opportunities for profitability and growth. I want to thank again our associates that have done a tremendous job and are a great part of our company. And we look forward to getting catching you up at the end of the third quarter on our progress during the remainder of the year. Thank you.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.